Operator: Good morning. My Suzette and I will be your conference operator today. At this time, I would like to welcome everyone to the Wright Express third quarter 2010 financial results conference call. All lines have been placed on mute to prevent any background noise. After the speakers remarks, there will be a question and answer session. (Operator Instructions) Thank you. Mr. Steve Elder, you may begin your conference.
Steve Elder: Good morning. With me today is our CEO Mike Dubyak and our CFO Melissa Smith. The financial results press release we issued earlier this morning is posted in the investor relations section of our website at writeexpress.com. A copy of the release has also been included in 8-K we submitted to the SEC. As a reminder, we will be discussing a non-GAAP metric, specifically adjusted net income during our call. For this year’s third quarter, adjusted net income excludes non cash mark to market adjustments on our fuel price related derivative instruments, small impact related to our tax receivable agreement, and the amortization of acquired intangible asset as well as the related tax impacts. Please see Exhibit One included in the press release for an explanation and reconciliation of adjusted net income to GAAP net income. We will also be discussing the acquisition of the Australian Fuel and Pre-paid business from Retail Decision. While all of the revenue and expense numbers we are discussing today include the two weeks of their activity, the performance metrics data such as the number of vehicles, does not include their activity. I’d also like to remind you that we’ll discuss forward-looking statements under the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those forward-looking statements as a result of various factors including those discussed in our press release, most recent Form 10-K and other SEC filings. While we may update forward-looking statements in the future, we disclaim any obligation to do so. You should not rely on these forward-looking statements after today. With that, I’ll turn the call over to Mike Dubyak.
Mike Dubyak: Good morning everyone and thanks for joining us. During my prepared remarks this morning I will focus on a few key areas. First, I will briefly review our results for the quarter including key performance metrics, trends and customer wins. Second, I will talk about some of the recent advancements we have made in our long-term strategy to expand our international presence. And finally, I will wrap up with our near-term capital allocation priorities. Overall, the third quarter was a solid quarter. The momentum we experienced in Q2 continued through the end of September and we are pleased to report results that exceeded both our top and bottom line guidance. In addition, the performance metrics we track continue to improve. Our diversified businesses are posting solid growth and we had some exciting developments on the international front. Total revenue rose 17% to $100 million, primarily driven by elevated fuel prices, increased MasterCard spend and fueling activity. We also report adjusted net income of $28.1 million or $0.72 per diluted share, representing a 13% increase over the same period last year. Importantly, we continue to see improving trends across our business. Fleet fueling volume in our install base or same store sales grew 3.7% over the prior year. Although this has moderated slightly from the second quarter, quarterly fluctuations in volumes are to be expected to a certain degree in this economic environment. We also saw continued improvement across the majority of our SIC codes, specifically, the construction sector, posted its first quarter of year over year improvement in several years, while transportation, manufacturing and business services continued to trend upwards. Regionally, we also saw similar trends to the second quarter in terms of fueling activity as the southwest continued to outperform all other regions. Payment processing transactions in the U.S. were up 3.3% during the quarter, which marks the first time in over two years we have experienced consecutive quarters of year over year growth. In addition, transaction processing activity was up slightly over the previous year after five quarters of decline. Lastly, we saw the number of vehicles serviced during the quarter continue to rise. Our total number of vehicles serviced grew 3.7% year over year to 4.8 million vehicles, which was driven in large part by BP coming online in New Zealand in September. Our solid results, improving KPI trends and record low attrition levels both voluntary and involuntary, continue to underscore the strength of our value proposition to customers. To that end, we announced that we have signed a five year agreement to provide private label fleet card services for Conoco Phillips. The program will include a competitive discount offer funded by Conoco Phillips through a branded, proprietary fleet card accepted only at Conoco, Phillip 66 and 76 locations, as well as a new co-branded universal card which will be accepted at over 190,000 fuel and service locations throughout the United States. Beyond our fleet card business, our diversified businesses continue to exceed our expectations. For the third quarter, our diversified businesses represented 26% of revenue versus 21% in the third quarter of last year. Including the recently acquired Australian businesses, we anticipate the diversified businesses will grow to approximately 30% of our total revenue next year. MasterCard spend volume increased 50% year over year driven in large part by our online travel customers. Our newest customer in the online travel vertical continues to ramp up nicely and we are clearly encouraged by the results to date. During the quarter, we continued to make headway in the insurance and warranty vertical, and are exploring other verticals that could offer additional long-term growth opportunities for this business. Concurrent to our business expansion initiatives with MasterCard, we have made strides in advancing our long-term vision to provide both payment processing and card issuance services on a global scale. To that end, we closed the acquisition of Retail Decisions, Australian fuel and pre-paid companies in mid-September. The fuel business is Australia’s largest multi-branded fuel card issuer with roughly 300,000 cards in circulation, and the pre-paid business is a market leading processor of pre-paid cards in Australia and maintains approximately 16% market share. This acquisition provides us with an excellent opportunity to one, extend our international footprint by providing global revenue diversification in an established but growing market; two, create a new platform for growth outside of fuel cards with pre-paid; three, diversify the business in a number of ways including currency, seasonality and customer base; and four, advance our long-term international vision, complementing our efforts in both Europe and Asia Pacific. The integration of the businesses has been going very well. The Wright Express Australian employees have been a great addition to the company and we’re excited to have them aboard. To reiterate, some of the things we said on our call announcing the transaction, the growth rate of these businesses is similar to our U.S. business. Overall EBITDA margins are slightly higher than our historical margins. The transaction was accretive to our adjusted net income in the third quarter and we are expecting a significant contribution in the fourth quarter as well. During the quarter, we also announced that we have signed an agreement with BP International to process its commercial fuel card transactions in Australia and New Zealand. In September we began processing for BP in New Zealand, which largely drove the improvement in the transaction processing activity. We expect BP in Australia to go online during the first quarter of next year. So as you can see, we’re making progress on our international strategy as evidenced by the recent acquisition and our new relationship with BP. In addition, we continue to explore a strategy focused on expanding our international presence. These important steps in our international strategy combined with strength in MasterCard and positive results in fleet, provide us with multiple avenues for continued growth. Before I turn the call over to Melissa, I just want to spend a few minutes talking about our capital allocation priorities. As we have said in the past, our highest priority in terms of excess cash flow remains on maintaining a healthy level of strategic investments to expand our business both organically and through alliances, mergers of acquisitions. We have also focused on share repurchases. Early in the third quarter, we spent roughly $7.9 million buying back 261,000 shares of our stock. Since the inception of our current purchase plan in 2007, we bought back approximately 3.6 million shares at a total cost of $101 million. We have approximately $49 million remaining under the current authorization. That said, we view our optimal leverage range to be between 1.5 and two times EBITDA. With the completion of the acquisition, we are now at the high end of that range at two times. In the near term, we plan to pay down debt. While the uncertainty in the broader market remains, the positive indicators we are seeing across our businesses underscore our confidence that we should see continued top and bottom line growth as we move into 2011. With that, let me turn the call over to Melissa to discuss our financials in more detail and provide additional clarity on our revised guidance.
Melissa Smith: Thanks Mike, and good morning everyone. As Mike noted, we had another solid quarter with our results beating guidance and several key performance metrics showing further improvement. For Q3, payment processing transaction growth, higher fueling volume, increased MasterCard spend and lower credit loss, all favorably impacted our results compared to last year. Improving trends within our business also reinforce our confidence that this performance will continue through the remainder of 2010 and into next year. I’ll now run through some of the key financial metrics that drove our results for the quarter before moving to a discussion of our current capital structure. I’ll then conclude with our revised expectations for the fourth quarter and full year. Turning to the income statement, which you can reference in the release we issued this morning, we reported third quarter total revenue of $102 million, increasing 17% from $85.8 million for the third quarter of 2009 and above the top end of our guidance range of $91 million to $96 million. As Mike noted earlier, these revenue numbers include a small contribution for two weeks of activity from Write Express Australia. Net income to common shareholders on a GAAP basis was$20.6 million or $0.53 per diluted share compared with $23.4 million or $0.60 per diluted share in Q3 last year. Our non-GAAP adjusted net income for the third quarter of 2010 increased to $28.1 million or $0.72 per diluted share, exceeding the high end of our guidance range, which was $0.65 to $0.70 per diluted share. This represents an increase of 13% over the adjusted net income to the third quarter last year, which is $24.9 million or $0.63 per diluted. With that as a background, I’ll discuss our financial results in more detail. Our net payment processing rate for Q3 2010 was 1.78%, which is up one basis point versus Q3 2009, and up three basis points from 2Q. As a reminder, we implemented some new payment processing rates during Q1, increasing the average rate by five basis points. We’ll continue to see the benefit of these higher rates in future quarters. This was another strong quarter of growth for our MasterCard segment. Total purchase volume was up 50% from Q3 last year to $1.3 billion, again exceeding our forecast. Revenue in the MasterCard segment was up by 53% year over year to $16.7 million. MasterCard represented 17% of total revenue and 15% of total A&I in the third quarter of 2010, up from 13% and 12% respectively in the third quarter last year. The MasterCard net inter-change rate for Q3 was 1.03%, down seven basis points year on year, primarily due to higher foreign spend, which is a lower inter-change rate, and higher rebates due to customer mix. Moving on to operating expenses, our strategy remains the same, tightly controlling our underlying cost structure, while making targeted incremental investments in growth initiatives including research, marketing and international business development. On a GAAP basis, total operating expenses of $64 million for Q3 were higher than we expected, primarily due to transaction costs associated with the acquisition and higher compensation expense. Deal expenses and the related tax impact incurred in the acquisition of Retail Decisions, was approximately $6.8 million. This was offset by a foreign currency gain of $6.8 million we realized at the close of the transaction. Salary and other personnel costs for Q3 were $23.7 million, up $5.1 million from the third quarter last year. This increase was primarily due to additional employees, contractor expense, annual salary and benefit increases, commissions and employee travel. The remainder is due to an increase in incentive plans based on current projections of our financial performance. Fleet credit loss was 12 basis points compared to 19 basis points in the prior year, and within the 11 to 16 basis points we assumed in our guidance. On a total basis, including both fleet and MasterCard, credit loss for the third quarter was $3.9 million compared with $5.7 million in Q3 last year. Total charge offs in the quarter were $4.4 million and recoveries were $1.1 million. As of September 30, balances past due 30 or more days represented 1.1% of the portfolio compared with 1.4% last year, and 1% at the end of Q2. The slight increase in past due balances was in line with our expectations. Our effective tax rate for Q3 on a GAAP basis was 45.5%, compared with 39.6% in the third quarter last year. Our adjusted net income tax rate this quarter was 40.1% compared with 37.8% for Q3 a year ago. Both tax rates were negatively impacted by non-deductible expenses associated with the acquisition. In addition, there were also small true ups resulting from the filing of our state tax returns. On a go forward basis, without the costs associated with the transaction and state tax true ups, we expect our NAI tax rate will be approximately 37% for the fourth quarter. Turning to our derivatives program, during the third quarter of 2010, we’ve recognized a realized cash gain of $3 million before taxes on these instruments and an unrealized loss of $6.7 million. We’ve concluded the quarter with a net derivative liability of $.9 million. As previously reported, we’ve completed our purchases for 2010. For the remainder of the year, we have locked in a price of $2.69 to $2.75 per gallon. Including our most recent purchase in October, we’ve also hedged 80% of our North American exposure through the third quarter of 2011, 53% of our exposure through the fourth quarter of 2011, and 27% of the first quarter 2012 exposure. For the periods in 2011 for which purchases have been completed, the average price we’ve locked in at the top end of our collar is $2.94, and increases quarterly as we move through the year. On a go forward basis, we do not plan to hedge our fuel price exposure specific to Australia as the exposure is more limited and has not historically fluctuated to the degree it has in the United States. We will continue to target hedging 80% of our fuel price exposure in the U.S., which will effectively cover 65% to 70% of our overall exposure. Turning to the balance sheet, we ended Q3 2010 with a balance of $345 million on our revolving line of credit and $75 million in our new term loan. The interest rate on our line of credit will increase slightly in the fourth quarter based on our increased leverage. The term loan carries an interest rate of LIBOR plus 250 basis points. Our leverage ratio was two times EBITDA compared with 1.3 at the end of Q3 last year. In the third quarter, we also entered into an 18 month interest rate swap that locks in LIBOR at 56 basis point on $150 million through February of 2012. Capital expenditures for the third quarter were $6.9 million. Our anticipated CapEx for 2010 is in the range of $24 million to $26 million, up from the actual spend of $17.8 million in 2009. Again, this is comprised of ongoing investments in new products, inefficiency initiatives, with the majority of the year over year increase reflecting our international investments. Moving to our outlook for the remainder of the year, let me remind you that our forecast reflects our view only as of today, and are made on a non-GAAP basis as Steve discussed earlier. For the fourth quarter of 2010, we expect to report revenue in the range of $107 million to $112 million and adjusted net income in the range of $26 million to $29 million or $0.68 to $0.74 per diluted share. For the full year 2010, we expect revenues ranging from $382 million to $387 million and adjusted net income for the full year 2010 in the range of $103 million to $107 million or $2.69 to $2.75 per diluted share, which represents a 24% increase over last year. Both fourth quarter and full year 2010 adjusted net income per diluted share is on approximately 39 million shares outstanding. Before I review the key assumptions incorporated in our guidance, I want to spend a few minutes discussing the impact as a result of our recent acquisition. We closed the transaction late in the third quarter and as a result the contribution from these businesses in the quarter ended September 30, was not material. For the third quarter, we anticipate rolling the results of the Australian fuel and pre-paid businesses into our fleet results when we file our 10-Q. However, over the next several months we will be evaluating the best way to characterize this business in terms of its results and expect to provide any changes or updates on our fourth quarter call and full year 2010 filings. That said, for the fourth quarter, we expect Wright Express Australia to contribute between $14 million and $16 million in revenue. In addition, the majority of the increase in our adjusted net income guidance for the full year is the result of the acquisition. With that, let me provide other key assumptions on our financial guidance for the fourth quarter and guidance for the full year 2010. Reflecting the thoughts Mike expressed, our guidance assumes the volume in our existing U.S. customer base for same store sales volume will be positive for the remainder of the year. U.S. fleet credit loss for the fourth quarter is expected to be 17 to 22 basis points and the full year is expected to be in the range of 14 to 15 basis points. This loss rate reflects the favorable experience so far this year, with no other meaningful changes to our assumptions. The fuel price assumptions for the U.S. are based on the applicable (inaudible) futures price. For the fourth quarter, we expect fuel prices to be $2.82 per gallon. For the full year, we expect fuel prices to be $2.81 per gallon. To echo Mike’s comments, we are pleased with the results this quarter and have confidence that we will continue to see growth as we move into 2011. With that, we’ll be happy to take your questions. Suzette, you can proceed with Q&A now.
Operator: (Operator Instructions) Your first question comes from John Williams from Goldman Sachs.
John Williams – Goldman Sachs: Good morning. Thanks for taking my question.
Melissa Smith: Morning.
Mike Dubyak: Morning.
John Williams – Goldman Sachs: Very quickly, just curious if you could possibly pull out the revenue contribution. I know it was only a few weeks in the quarter, but from the Australia business it would just be helpful to try and get to the operating margin that’s a clean number when we X out the one-time expenses.
Melissa Smith: We said it’s not material to what we reported in Q3. There is a little bit of seasonality in the number that we gave for Q4, the $14 to $16 million because of the pre-paid business, so you can presume there’s two weeks of activity in Q3 roughly, and a little bit less of the run-rate of what we’re projecting in Q4.
John Williams – Goldman Sachs: OK. In terms of that seasonality, how should we think about that when we’re just trying to model that business? Obviously Q4 is going to be you said a little bit higher, right?
Melissa Smith: Yes. It’s slightly higher. The pre-paid business is still a small part of the total Australian business, so it will have an impact, but not a significant impact.
John Williams – Goldman Sachs: And when we think about hedging as just a sort of a share of the total revenue and exposure to earnings that you’re hedging, on the international side presumably it’s less of an issue because you’re more tilted towards processing. Is that fair to say?
Melissa Smith: On the international side, there is actually funded relationships on the Australian fuel business and so there is fuel price volatility, but it’s less of a piece of their business because they earn more account servicing fees as a percentage of their total revenue, and fuel prices are more stable there from what we’ve seen in the last couple years of results for retail division Australian business.
Mike Dubyak: And the prices John are higher, so when crude oil prices change, it has less of a percentage change on their volatility.
John Williams – Goldman Sachs: Got it. OK. And overall, I think you had said 65% to 70% of earnings exposure is what you’re going to be hedging now when you factor in the international impact?
Melissa Smith: That’s correct. Yes.
John Williams – Goldman Sachs: OK. That would be presumably versus what was 80% before you did this deal.
Melissa Smith: Correct. Yes, we’re still hedging 80% but just off the North America base. Yes, you’re right. If you translate in the Australian business, you get to 65 to 70%.
John Williams – Goldman Sachs: OK, great. Thanks guys.
Mike Dubyak: Thanks.
Operator: Thank you. Your next question comes from Greg Smith with Duncan Williams.
Greg Smith – Duncan Williams: Hi guys. Melissa, is there any way you can give us an indication what D&A is going to look like in the fourth quarter or at least the extra increment related to the Australia acquisition?
Melissa Smith: The amortization expense, when we file the Q, we’ll actually have our first estimate of the purchase accounting adjustments, which is just an estimate at this point, but rough order of magnitude is about $100 million in intangibles that are getting added and they’ve got various life associated with them. Most of them are pretty short life.
Greg Smith – Duncan Williams: Short as in five years?
Melissa Smith: Five to ten range.
Greg Smith – Duncan Williams: OK. And then in the quarter are the, I guess the finance fees stepped up pretty nicely. That was a little surprising, and also the other revenue. And I’m just thinking on a sequential basis. Was there anything unusual in those two line items this quarter?
Melissa Smith: The impact for late fees has to do with the timing of when a period, cycle ends because of the dates of the cycle closed, we actually ended up with a little bit more late fees than we’ve seen in other quarters.
Greg Smith – Duncan Williams: And the other revenue?
Melissa Smith: And in terms of other revenue the MasterCard business has cross border currency fees, which are included in other revenue and because we saw more volume outside of the U.S., we saw a pick up there. But you also see a corresponding cost associated with that, which is going through our service fees.
Greg Smith – Duncan Williams: OK. Very helpful. And then on the MasterCard side, what’s the latest on some of the larger – I don’t believe you talked about it. I’m sorry if you did, but what’s the latest on some of the larger potential deals and some of the trials you have going on there?
Mike Dubyak: We’ve talked about one particular customer, and we haven’t disclosed their name in respect to them at this point, but that continues to ramp quarter by quarter and that will continue to grow and ramp even through next year. So there’s still strength, and the momentum from that particular customers. And then we’re seeing other online also being strong, and as we said, some new verticals that we’ve been closing in the warranty and insurance business. So overall MasterCard has great momentum and we see it continuing.
Greg Smith – Duncan Williams: And that customer then, it’s not a trial. It’s a phase in to basically handle their business.
Mike Dubyak: Yeah, it’s not a trial. I mean we started fourth quarter of last year. It’s continued to roll out. These are not trials, and it will continue to get strong and roll out next year as well.
Greg Smith – Duncan Williams: Thanks a lot. Great. Thank you.
Melissa Smith: And Greg, just go back to your question about amortization, it will be closer to five years in our preliminary estimate. Obviously that’s going to be changing over time, but that’s our first view.
Greg Smith – Duncan Williams: OK. I’ll take a stab at it. Thank you.
Operator: Your next question comes from Bob Napoli with Piper Jaffray.
Bob Napoli – Piper Jaffray: Thank you. So just to be clear, in the third quarter there’s a couple million of revenue. If you take the fourth quarter guidance down two weeks, it’s like $2 million of revenue or somewhere in that range and no expenses. Was there – the $0.72, did you get a couple pennies from the acquisition or, just trying to be clear on what the run rate was in the third quarter.
Melissa Smith: We said it was accretive in the quarter so that we did get a little bit of a pickup. The transaction costs netted against the cost of the foreign currency gains, so those two things essentially wiped each other out, and so there’s revenue and then ongoing cost to run the business. They’re included in the results for those two weeks.
Bob Napoli – Piper Jaffray: So a couple million of revenue with an EBITDA margin slightly above the corporate average is what the effect would have been on the third quarter. Melissa Smith. Correct. And the cost, the financing cost of the transaction has that against it too.
Bob Napoli – Piper Jaffray: OK. Then the growth rate of that business and the seasonality, how seasonal is that? What is the seasonality difference in that seasonality versus your business? Is it – I mean obviously the pre-paid, which – what percentage of the revenue is pre-paid of the 14 to 16 in the fourth quarter?
Melissa Smith: It’s a small piece of the total Australian entity, and so that’s why it doesn’t have as much of an impact overall to the total. There is a little bit in there, but it’s not significant, but there is a little bit of impact on the seasonality. And as Mike said earlier, it complements our business to a certain respect because on the fuel side of the U.S. business, there’s a little seasonality down in the fourth quarter as there are less business days in the fourth quarter, so we actually think those two things are going to complement each other.
Bob Napoli – Piper Jaffray: But the seasonality of the fuel business is similar to the seasonality of your core business in the U.S.?
Melissa Smith: It is, yes.
Bob Napoli – Piper Jaffray: And then just strategically, where do you go from here? OK, so you got the pre-paid business. What is the strategy to try to roll that out? I mean you generate a lot of cash flow so you de-lever really fast. I mean are you looking at other international deals and opportunities? I would like to have some understanding of the organic growth strategy of what you acquired and what else makes sense to fit into that growing international business.
Mike Dubyak: If we first just take the Australian businesses, I think we were clear saying we didn’t have any kind of specific synergies, nothing was explicit. We feel good about the businesses. It is geographic diversification, but we will be looking at opportunities. So there are already teams assigned to look at just on that business, their platform, how that can be leveraged possibly in other parts of the world if we’re looking at pre-paid, looking at what we can do to bring to bear to help them with some of their fleet card strategies in terms of how we’ve done things in North America. They’ve done a lot of what we do, but we do some things a little bit differently that might help them as well with growth opportunities. So we’ll see that business kind of somewhat be a standalone, but we are looking at synergies, but none of that was how we – when we bought it, we weren’t basing it on those synergies. We will look at other international acquisitions. I think we talk about being both an issuer and a processor. I think in that case, the Australian business allows us in at least parts of Asia pack to be now a processor and provide operating services. So we will at least look at that strategy in other parts of the world as well to be a processor and then look at potential acquisitions that can provide those back end operating capabilities. And then we’ll continue to look at BP as a partner to roll out internationally and look at other oil companies where we can be a processor, and then eventually layer in some of the operating services. So I hope that helps Greg.
Bob Napoli – Piper Jaffray: Bob, but that’s ok.
Mike Dubyak: I’m sorry, Bob.
Bob Napoli – Piper Jaffray: No problem. All right. Thank you.
Operator: Thank you. Your next question comes from David Parker with Lazard Capital Markets.
David Parker – Lazard Capital Markets: Thank you. Good morning. Congratulations on getting back to growth in a number of your important metrics. First of all, could you – you’ve announced a number of positive wins in the last few months with BP and the renewal with St. Clair and Conoco, could you just talk about some of the reasons why you’re winning business and just your competitive advantage right now.
Mike Dubyak: Well, I think it goes back to during the crisis we said we were going to continue to invest in our business. We did that. I think some of the capabilities that we’re showing in terms of the services we can provide to a private label partner to a fleet in terms on online services capabilities, other products that we’ve diversified, just gives us the ability I thing to compete very aggressively, and we’re doing that, and we’re winning business. During the crisis, our bank was a strategic advantage, able to show that we could still approve at a high level, and we have found that if from a private label oil company, and I see what my results were during those periods of time and now see what Wright Express can show and demonstrate during that same period of time, that’s an advantage to be with Wright Express as a processor. So I think all of the investments, being very aggressive in the marketplace and just showing the results we were able to show during a very difficult period is playing very well for us right now.
David Parker – Lazard Capital Markets: Good. And then are you funding the transactions for Conoco and how does their – how do they overlap with your current coverage in the U.S.?
Mike Dubyak: We will be funding, so we’ll be funding. We’ll actually be managing a lot of their marketing and sales so this is a full comprehensive program. So fully operational, funding the receivables, carrying the bad debt, managing sales reps, managing marketing budget. The good news is, with some of their brands like the 76 brand, they give us west coast coverage with another private label capability. They’re going to be rolling out a co-brand card so it gives us more strength again with maybe mid-size and larger fleets with their co-brand card to penetrate on the west coast and other areas that they’re in. So it just compliments I think in a lot of ways the ability to go after the small sized fleets and some of the mid-sized fleets with the card programs we’re putting in place with them.
David Parker – Lazard Capital Markets: OK. And then how does the pipeline look, specifically with some of the government deals that might be out there?
Mike Dubyak: Well, I would say this, that talking to the sales organization, they feel their pipelines right now are as strong as they have been for two years, and that’s across all sectors; government and corporate, and that includes MasterCard as well as fleet.
David Parker – Lazard Capital Markets: Great. Melissa, just quickly, should we anticipate any foreign currency gains or other transaction costs associated with the Australia acquisition in the fourth quarter or are we done with those?
Melissa Smith: Not associated with the actual transaction. We said before that we’re not hedging the currency exposure to the Australian business and the presumption is that the exchange rate is pretty similar to what it is now in our guidance, so we don’t think that’s going to have a material impact, but it’s just another thing to contemplate. It’s part of why we widened the range by another penny.
David Parker – Lazard Capital Markets: OK, great. Thanks guys.
Mike Dubyak: Thank you.
Operator: Your next question comes from Tien-Tsin Huang with J.P. Morgan.
Reggie – J.P. Morgan: Good morning. It’s actually Reggie [ph] calling in. I jumped on a little late. Did you guys talk about intra-quarter trends and if so, do you mind I guess kind of reviewing them briefly for me.
Mike Dubyak: In terms of some of the existing customer trends?
Reggie – J.P. Morgan: Yeah, trends (inaudible) the things improve as the quarter went along and through October, kind of what are you seeing there?
Mike Dubyak: Actually it was a very strong quarter and it actually did progressively – if I just look at the existing customer trends, because that’s really giving us the biggest indication of what our, if you will, 285,000 customers are doing, every month they get a little bit stronger than the previous month. So that was very positive. We saw as we said, all regions of the country this time either grew, and the only one that did not was the west coast. They were down a little bit mostly because of Nevada. Even California was flat. Our SCI codes pretty much the majority of them had growth and I think we announced on – we talked on the prepared remarks about the construction trade actually was slightly up, which was the first time we saw construction SIC’s up over the last couple of years, so that was very positive.
Reggie – J.P. Morgan: OK. That’s great. Appreciate that. I guess kind of focusing on Wright Express Australia, just curious, did you guys disclose I guess what ‘09 revenues were and kind of what ‘10 would look like if they fall within your fourth quarter guidance range?
Melissa Smith: We did actually announce the 2009 previous results on our last call. It was $60 million Australian dollars for 2009 result, and we will be filing pro forma statements toward the end of this month, so you’ll see more information on 2010 as well. We file the Q which has limited pro forma information that we’ll be filing included in that. So what we are giving out, selected pieces of information for the business. We also said for the fourth quarter that there would be $14 to $16 million in our guidance for the Wright Express Australian business, and that that’s a little bit seasonal.
Reggie – J.P. Morgan: OK. Perfect. And then I guess I noticed a nice uptick sequentially in your vehicles and I was just curious, was that something macro or was that related I guess to some of the new wins you’ve announced in the Australia acquisition.
Mike Dubyak: It was primarily the BP program that we brought on as a processing customer, partner in New Zealand, so that had the most material impact on the growth rate.
Melissa Smith: The vehicle number actually does not include any of the numbers from the Wright Express Australian acquisition. We’ve excluded that for this quarter.
Reggie – J.P. Morgan: OK, perfect. Going forward, they will be in there though, the Australia?
Melissa Smith: Yes.
Reggie – J.P. Morgan: Thanks. Great quarter guys.
Melissa Smith: Thank you.
Operator: Your next question comes from Tim Willi with Wells Fargo.
Tim Willi – Wells Fargo: Thank you and good morning. I just had a question on the competitive landscape. You mentioned in a couple questions about why you’re winning some private label business based upon capabilities that you think you can do better than a fuel company internally. Could you just address anything you’ve seen and thoughts around your capabilities versus the competition? Is there a functional and product gap that you think is widening between yourself and most of the competition given your ongoing re-investment? Maybe some of your other competitors have struggled with leverage or just sort of lack of clear focus by being part of a larger entity. Anything along those lines that you would point to?
Mike Dubyak: Well, without getting into specifics, a little bit of what you said is true. Maybe focus with competitors, which I think we were able to take advantage of, especially in the down market where we’ve been very strong. The fact that I really think it is a combination of the investments we’ve made to keep differentiating ourselves. If you’re talking larger fleets that look at our online controls and capabilities, together with our kind of customer service of how we work with them to make sure we’re providing great value so they can save money. It’s kind of degrees of changes, not one thing. I can’t say there’s any major gap, but I think that people can see the differences. We worked very hard to win the GSA business and we’ve leveraged that into other government programs. What we built there was investments we’ve made over the years and they could see the differentiation. We’ve won a lot of these larger accounts with not being the lowest of price, so it does point to the fact that our overall customer capabilities and technical capabilities on products win out for us. We did research last year that shows our net promoter score kind of in that world class level as well as our brand had the highest positive brand impressions against our competition. So all of that I think plays well for us when you’re talking at least partners and also large fleets, and even in the MasterCard area.
Tim Willi – Wells Fargo: Thanks. And then just a follow up question if I could around expense growth and sort of thinking about where the revenue momentum has been trending and some of the – you held the line obviously on expenses pretty well during the downturn. Any thoughts you have around discretionary spending, hiring plans that might take place if these revenue trends hold. Do you think you found a sort of a new productivity level that exists at the company as opposed to prior to the downturn where margins or however you managed productivity could actually get above the peak levels prior to the economic slowdown?
Mike Dubyak: I’ll let Melissa talk on this as well, but I would say we’ve been during this period as we said, we keep investing, so we’ve been doing a lot of research, and we are going to be investing in some cases that are going to have paybacks as much as a year out for example. We’re going to continue to grow the MasterCard sales force, which is very positive because we think there’s great opportunities to continue that growth and even expand that growth, so we’re bullish there. We’re adding sales reps for Conoco Phillips, so you won’t see their productivity for a while. So areas like that, we will make those investments. I’d say if you look at our core kind of operating side in terms of the contact center and even the IT side, and the finance side, and we do show scale there and show productivity gains, and that will continue.
Tim Willi – Wells Fargo: OK, great. Thank you.
Operator: Your next question comes from Chandra Singh [ph] from Bloomberg.
Chandra Singh [ph] – Bloomberg: Good morning Mike and Melissa. Congratulations on a very good year. I just had a couple of things I wanted to ask you about the Australian company. I know you’d said and it’s been reported that in ‘09 it had $61 million of Australian dollar revenues and you mentioned that fourth quarter which will be a little bit seasonally above average is 14 to 16 which would sort of imply that it’s about $60 million again, with what ‘09 was, so I’m just trying to understand what I see. Would it be in Australian dollars? I know this is a U.S. number you’re talking 14, 16, but in Australian dollars, will ‘10, will 2010 be something like $65 million in Australian dollar revenues very roughly speaking?
Melissa Smith: There are going to be differences and this is part of what we’re working through as the pro forma numbers between the number that you referenced was the audited number for retail decisions asset, and that will have some reconciliations or differences between how we view things from a U.S. GAAP perspective, which is what we’re pro forma’ing and adjusting right now. So I don’t think they’re exactly apples to apples. I wouldn’t infer anything from that until we actually file the pro forma information which is going to be later this month.
Chandra Singh [ph] – Bloomberg: OK. And yeah, because I just – yeah okay. I’m just trying to get a handle on how that was. And EBITDA margin you said is a little bit above your average and your average by my estimate is about 50% so you’re saying that this company would be a little bit above that. Is that a correct understanding?
Melissa Smith: We did say it’s a little bit above ours, yes.
Chandra Singh [ph] – Bloomberg: OK. Thank you very much.
Operator: I have a follow up question from Bob Napoli with Piper Jaffray.
Bob Napoli – Piper Jaffray: Thank you. The Conoco Phillips, I was just trying – I mean is that – I’m trying to get an understanding of the revenue potential. And I’m sorry, I know you went through the transactions earlier and when, I mean when does this business kick off and how many transactions do you – is the Conoco Phillips?
Mike Dubyak: We haven’t disclosed the number of transactions. It does have a soft conversion during the fourth quarter where we’ll be issuing cards, and it has a hard conversion on January 1, where the prior cards provided by the prior processor will basically be expiring. But we haven’t disclosed specifically what transaction will be.
Bob Napoli – Piper Jaffray: I mean it sounds, I mean this is relatively material which is why you’re talking about it, but I mean how many locations is it and you haven’t disclosed the cards, can you kind of give me some feel or try to give us some feel for ...
Mike Dubyak: Well they have 7,000 locations between their Conoco brand, their Phillips 66 brand and their 76 brand.
Bob Napoli – Piper Jaffray: And your, as you said, this is a payments. This is, you’re doing soup to nuts if you will with a full payment processing. Is there any way – I mean what would a typical company like this, or do you have a customer that would be a similar size or something that you could talk about or any way to quantify to give us a little better feel for what this really has and how many vehicles are involved.
Mike Dubyak: Part of that is we’re just being careful of not disclosing information that they haven’t given us the right to do. I would say that it is a little smaller than Sonoco, and I think you’ve done some modeling around that, so I would be comfortable saying that.
Bob Napoli – Piper Jaffray: All right. And the tax rate for 2011 with the acquisition?
Melissa Smith: We said we think the tax rate in the fourth quarter of this year is around 37% on an A&I basis. We’re still evaluating 2011 and the impact of that, but we do think that there’s going to be a tax benefit of having the Australian business in the mix.
Bob Napoli – Piper Jaffray: OK. And the MasterCard business, so you think it could be below 37 then in 2011.
Melissa Smith: Well we’re saying the fourth quarter is about 37 and that would include a full quarter of the Australian business in there.
Bob Napoli – Piper Jaffray: OK. And then the MasterCard business, the lower interchange rate, which I understand is more international. Would you expect the mix of international to continue to increase and then just should I assume that the international business is somewhat less profitable than the U.S. because of the lower interchange rate or are there other benefits?
Melissa Smith: I would presume that it will increase based on the mix changes that we’re seeing and in terms of profitability, maybe slight less. You’re going to see actually when we report the quarter in the Q that the MasterCard business is very profitable in a soft quarter even with the mix change.
Bob Napoli – Piper Jaffray: OK. So you’re getting some operating scale. Are you – I mean historically I know you have a far amount of variable costs in that business but are there – with the kind of growth you’re getting, are you now seeing scale benefits?
Melissa Smith: There’s scale and we also had a very low credit loss quarter. There’s typically not a lot in there anyway, but it was particularly low in the third quarter from the MasterCard program.
Bob Napoli – Piper Jaffray: OK. Thank you.
Operator: Thank you. Your next question comes from Leonard Deprospro with Janney Montgomery Scott.
Leonard Deprospro – Janney Montgomery Scott: Good morning and thank you taking my call. I was just curious if there’s any way you could parse out the expenses in the third quarter associated with the recent acquisition in terms of what line items to come from. I think you had mentioned about $6.8 million. I don’t know if that was all going to be in service fees, salary and other, how they were kind of split out.
Melissa Smith: There’s approximately $4.5 million, the biggest chunk of this is included in service fees, and then also in taxes. The increase in tax rate that we talked about was as a result of some of those expenses not being deductible.
Leonard Deprospro – Janney Montgomery Scott: OK. Thanks. Maybe I heard this incorrectly, but in terms of the transaction growth year over year, I think you had mentioned that some of that lift was due to BP coming on, so I was just curious if you all disclosed with that transaction growth would have been organically without the addition of BP transactions.
Melissa Smith: BP transactions were included in transaction processing transaction, so you can actually see it. The number for payment processing transaction, does not include that nor does it include the Australian business.
Leonard Deprospro – Janney Montgomery Scott: OK. Thanks.
Operator: Thank you. Your next question comes from comes from Marshall Jaffe with Henry Armstrong Associates.
Marshall Jaffe – Henry Armstrong Associates: Yes, hello. Can you give a little bit of detail on the components of the increase in receivables? Was that better? Was it a change in the performance of payments? Some of it obviously was attributable to the Australian business. Can you just give us an idea?
Melissa Smith: Sure. The increase in the receivables are driven by the increase in fuel prices as well as the Australian business is say between 10%’ish of the total receivable balance, so that’s part of the growth. But those are the two biggest components. The actual DSO for us is very consistent over time.
Marshall Jaffe – Henry Armstrong Associates: OK. So the payment performance wasn’t a meaningful factor in that, is that right?
Melissa Smith: No.
Marshall Jaffe – Henry Armstrong Associates: OK. Thanks very much.
Operator: Thank you. I will now turn the call back to Mr. Elder for final remarks.
Steve Elder: Well thank you. We look forward to speaking with you again next quarter and the call. Thanks.
Mike Dubyak: Thank you.
Operator: Thank you. This concludes today’s conference call. You may now disconnect.